Operator: Good day, and welcome to the NN, Inc. First Quarter 2024 Earnings Call. [Operator Instructions]. Note this event is being recorded.  I would now like to turn the conference over to Mr. Stephen Poe, Investor Relations. Please go ahead, sir. 
Stephen Poe: Thank you, operator. Good morning, everyone, and thanks for joining us. I'm Stephen Poe, Investor Relations contact for NN Inc. and I'd like to thank you for attending today's business update. Last evening, we issued a press release announcing our financial results for the first quarter ended March 31, 2024, as well as a supplemental presentation, which has been posted on the Investor Relations section of our website. If anyone needs a copy of the press release or the supplemental presentation, you may contact Alpha IR group ttnbralpha-ir.com. Our presenters on this call will be Harold Bevis, President and Chief Executive Officer; and Mike Felcher, Senior Vice President and Chief Financial Officer; Tim French, our Senior Vice President and Chief Operating Officer, will also join us for the Q&A portion of the call. Please turn to Slide 2, where you'll find our forward-looking statements and disclosure information. Before we begin, I'd ask that you take note of the cautionary language regarding forward-looking statements contained in today's press release, supplemental presentation and when filed in the Risk Factors section in the company's quarterly report on Form 10-Q for the fiscal quarter ended March 31, 2024. The same language applies to comments made on today's conference call, including the Q&A session as well as the live webcast.  Our presentation today will contain forward-looking statements regarding sales, margins, inflation, supply chain constraints, forwarding exchange rates, cash flow, tax rates, acquisitions and divestitures, synergies, cash and cost savings, future operating results, performance of our worldwide markets, general economic conditions and economic conditions in the industrial sector, the impacts of pandemics and other public health crises and military conflicts on the company's financial condition and other topics. These statements should be used with caution and are subject to various risks and uncertainties, many of which are outside of the company's control. The presentation also includes certain non-GAAP measures as defined by SEC rules. A reconciliation of such non-GAAP measures is contained in the tables in the final section of the press release and the supplemental presentation. Please turn to Slide 3. And I will now turn the call over to our CEO, Harold Bevis. 
Harold Bevis: Thank you, Stephen, and good morning, everyone. Please turn to Page 4 in our earnings deck. NN had a successful first quarter, highlighted by growth in our core plants and continued execution of our business transformation strategy, which was underlined by a number of observable operational improvements that are underperforming locations. We also continued our commercial momentum winning new business in the quarter at a very strong pace, capturing more than $17 million of new awards, which we estimate to be about 3x market growth rates. Our transformation is fully underway, and we're now entering our second year. And I can say for the team that's here, time flies when you're having this much fun, and we are indeed pleased with our results over the last year, and we're looking forward to highlighting some of them today and then taking questions at the end. First, I'm happy to report that Q1 2024 was the third consecutive quarter of exceeding our upward goals and expectations for adjusted EBITDA, free cash flow and new business wins.  We have been driving our trailing 12-month EBITDA up. We believe this is a function of natural company strengths, a stronger team made up of both homegrown leaders and outside professionals, a strong set of improvement initiatives and being accountable to outcomes into each other. First and foremost, we've been delivering strong operational improvements. Some of you might wonder what does that mean? Operational improvements, pretty big terms. But for us, it means rightsizing our headcount, negotiating with nondirected suppliers, leveraging our global procurement power, upgrading plant managers if were needed, combining SG&A roles where possible and having an organized plan at every plant to take out costs. Additionally, in certain areas, we've had to negotiate and engage with customers on basic economics. Another term for this is continuous improvement, or CI, and we're committed to increasing our margin and profit rates on an ongoing basis, and it's working.  To be sure, it is sustainable and becomes a layer of goodness that we built upon. We have to change our culture in many areas, and that's working also. Sometimes winning and becoming successful is just playing hard work, and we're all about that. As we have noted in the past a year ago, the company had 7 unprofitable plants that were causing a big impact to our bottom line and our cash flows. Our aggressive actions over the last year at these plants has shown clear and immediate results with 3 plants returning to profitability already and the remaining 4 making dramatic improvements. The goal is for this group to become profitable by year-end 2024, this year. The commercial team has also been very successful over the last year, and we have secured growth at 3x the market growth rate by our estimations. This will enable us to layer in new growth and contribute to our adjusted EBITDA totals in future quarters. Before turning to our first quarter financial results, I'm happy to announce that we are reaffirming our free cash flow new business win outlooks for the year, while also tightening our outlook for net sales and adjusted EBITDA. We expect to deliver full year bottom line growth along with continued strong growth in new business wins, and Mike will cover this in more detail in his section.  Please turn to Page 5 in your deck. NN delivered solid first quarter results with net sales of $121.2 million and adjusted EBITDA of $11.3 million. Year-over-year net sales volumes were mostly flat after some onetime movements. But adjusted EBITDA grew strongly through the actions that I just walked through. It was our third quarter of year-over-year growth in adjusted EBITDA and our trailing 12-month adjusted EBITDA of $46.3 million is up 20% of the trailing 12-month adjusted EBITDA of a year ago or about $7.7 million of improvement. Our adjusted EBITDA margin is now 9.3% and is up significantly compared to last year as the turnaround of troubled plants and broader operating cost reductions continued to improve our bottom line. Before turning the call over to Mike, I'd like to recognize our global NN team. In a period of significant change for the company, a lot of it instigated by me, our employees and colleagues are performing on an outstanding basis on on-time delivery, quality and safety. We're reorienting and injecting best practices in our company as we go along and changing our culture. NN sales pipeline is as large and as healthy as it's ever been, and we continue to aim to continue winning new business with both new and existing customers globally.  With that, I'll turn the conversation over to Mike, who will walk through our financial performance in a more detailed manner. Mike? 
Michael Felcher: Thanks, Harold, and good morning, everyone. I'll start on Slide 6, where we will detail our results for the first quarter. Net sales for the quarter of $121.2 million were down 4.6% compared to last year's first quarter. For the period, we had roughly flat sales volumes due to a rationalization of volume of approximately $4 million underperforming plants, mostly offset by $3 million of sales growth at healthy plants. From a pricing standpoint, our prior year results included $3 million of end-of-life premium pricing associated with the closure of the Irvine plant. Looking to profitability. Our operating loss of $4.8 million improved by $2.3 million compared to the $7.1 million operating loss in last year's first quarter. On an adjusted basis, our first quarter adjusted operating loss was $0.7 million, which was slightly higher than the adjusted operating loss of $0.4 million seen in the prior year. As Harold referenced earlier, adjusted EBITDA results of $11.3 million grew by $3.2 million or 39% versus last year's $8.1 million result.  Our consolidated adjusted EBITDA margin results expanded by 290 basis points to 9.3% versus last year's first quarter. This improvement on our profitability on a lower revenue base relative to last year speaks to our early success in improving our base business performance. As we continue through 2024, our focus on attacking any and all underperforming areas of the business will continue to anchor our priorities as part of our multiyear transformation effort. In particular, we expect to see a more pronounced pull-through of the impacts from our operational improvement initiatives and total cost productivity programs. With those results accreting more thoroughly to our profitability figures as many of these only began benefiting us in the second half of 2023. As we have stated in the past, we remain committed to capturing an additional $10 million in adjusted EBITDA improvement once all our actions are completed.  Turning to our segment results, starting on Slide 7. In our Power Solutions segment, where our business is largely stamp products, our sales decreased 1.7% year-over-year to $48.2 million, down $0.9 million from the $49.1 million of sales in last year's first quarter. While we are experiencing strong demand in our business from U.S. customers focused on electrical grid, this demand strength was partially offset by volume rationalization as part of the Taunton and Irvine facility closures from last year. Despite the lower sales volume, the positive impacts from facility closures and cost reduction actions have driven solid results as seen for our improved adjusted EBITDA. Our quarterly adjusted EBITDA of $7.8 million improved by $1 million compared to the $6.8 million delivered in last year's first quarter. We believe it is a testament to our refocused efforts and commitment to our strategic transformation plans, both operationally and commercially, but the business delivered higher adjusted EBITDA and expanded margins by 290 basis points year-over-year.  As we begin to layer in stronger sales figures from new business wins, we expect to continue expanding our profitability as we capture improved fixed cost absorption through operating leverage, combined with the commitment to our cost and productivity programs that Harold walked through earlier on the call. Operationally, our focus remains on expanding our Connect and Protect business, improving underperforming plants, continuing to rightsize the cost structure, contemporizing our engineering and processes and ultimately executing on a healthy and strong growth pipeline across growing key end markets. Turning to Slide 8 in our Mobile Solutions segment, which covers our machine products business, sales decreased 6.4% versus the prior year's first quarter declined by $4.9 million to $73.1 million for the period. The decrease was primarily driven by rationalization of underperforming business and the impact of some mix shift in our retained business.  In line with the trend we have seen across the company, our profitability in the Mobile Solutions segment grew versus last year's first quarter as the segment's adjusted EBITDA result of $8.6 million increased by $3 million compared to the $5.6 million in the first quarter of '23. This markedly improved adjusted EBITDA performance was driven in part by stronger profits from our China joint venture, which continues to show market strength and attractive growth. Additionally, operating performance improvements within our underperforming plans reflect the early impact of our cost and productivity programs, which continue to gain momentum. Now turning to Slide 9, you can see a summary of our free cash flow, capital expenditures and net debt and resulting leverage. We are committed to maintaining positive free cash flow and will therefore take a measured approach on capital investments required for our new business wins. This includes utilizing equipment financing opportunities as we did in the first quarter where we executed a $4.9 million equipment sale leaseback transaction.  With that, I will turn the call back to Harold to discuss some of our additional developments before wrapping our prepared remarks. Harold? 
Harold Bevis: Thank you. Please turn to Slide 10. Our structural and process improvements have been accretive to our bottom line since the initiation of our global continuous improvement program last year. And our trailing 12-month EBITDA is now up to $46 million and it's up almost 20%, as I mentioned, since the first quarter last year, and it's improved for 4 quarters in a row. And additionally, as a result of targeted cost reductions, better operational planning and headcount rationalization, our EBITDA per head count is up 42%. And I just wanted to share a look into the operational improvement program that we have underway, led by our Chief Operating Officer, Tim French, who is on the phone later for questions. But we've progressively been working down our headcount over time. And this chart shows you what our headcount is outside of our JV because we have another 700 people inside of the JV. But these are on our non-JV headcounts. And you can see that we've been taking down our headcount while taking up our EBITDA, therefore, driving up our productivity.  So we're going to continue this balanced focus on growing earnings through growth as well as cost out initiatives. And it's helping us make improvements in our free cash flow generation also by having quite a bit of people off the payroll. And this remains an important focus going forward. This story is not over. We're underway with optimizing here. A lot of it's focused on our underperforming plants, and it will lead to an improvement in our overall capital structure also. We believe that we'll be able to put a period of financial stress behind us if we haven't already as we evolve our capital structure to be more reflective of our current performance, continued impact on implementing our transition strategy. This is one quarter at a time, one improvement at a time, sequential improvement, staying accounting, taking forward actions and improving base productivity.  Highlighted on Page 11, if you just turn the page, I'd like to flip and turn about our commercial program. Our organic growth program has been performing very well, and we're encouraged by our early success and ongoing success. Accelerating the growth of new business wins is another key to our transformation plan. And after having won a record $63 million of new business awards during calendar year '23, we delivered another $17 million of new awards in the first quarter this year, making a total of $80 million in a short amount of time. We're on pace to deliver the similar amount this year, 55% to 70%. We put in a range there because it's really hard to tell when you're going to close on things in your pipeline. But we're on pace now for the middle point of our guidance range here, as you can see from the results, which would mean $120 million to $135 million of new business won over 8 quarters. Our key growth areas continue to be the China automotive markets, which are just flourishing with indigenous and export opportunities. The U.S. electric location and grid technologies, where we specifically are on the grid edge and selected vehicle programs in the markets of North America, South America and Europe.  We're continuing to be selective in the medical markets. We're mindful of the amount of CapEx we've attached to growth plans. Tim French is the minder of our CapEx budget. And we've walked away from some opportunities that were just too CapEx intense for us. So we continue to leverage our installed base on an ongoing basis. And this batch of growth is much more capital effective and capital efficient than prior experiences about the company, and we're leveraging our installed capacity very well. If you turn to Page 12, we'd like to reaffirm our free cash flow and new business win outlooks, while slightly tightening our net sales and adjusted EBITDA guidance ranges.  And for the full year, just to repeat it here, we're expecting net sales in the range of 45 to 55 million up slightly from prior year to the midpoint, adjusted EBITDA in the range of 48% to 54, up over 20% at the midpoint, free cash flow in the range of $10 to $15 million up again slightly at the midpoint compared to improved free cash flow generation of last year and new business wins in the range of 55% to 70%. Our guidance continues to reflect steady end market demand despite some observed weakness in North American industrial markets relative to 2023. Specific to NN, we expect to continue executing our aggressive growth program, ultimately driving free cash flow and profitability across several new markets and customer platforms.  With that, I'd like to thank you for listening, and I'll turn the call back over to the operator for questions. 
Operator: [Operator Instructions]. And the first question will come from Joe Gomes with NOBLE Capital. 
Joseph Gomes: So you mentioned on the 7 facilities that 3 are back to profitability now and you're hoping to get the other 4 by year-end. And I think previously, you talked about there was $100 million of revenue associated with that was unprofitable. How much of that $100 million of revenue would you say is now returned to profitability? 
Harold Bevis: It's about half of it, Joe. And we're underway with a goal by the end of the year for that group to cross the line and make money for us on the way to making 5%. So we're going to go from losing over 10% to making plus 5%, which is slightly below our average. But those plants specifically have some of our older assets and then some special purpose assets. So we set realistic goals for now. But right now, we're kind of clearing waivers on about half of the revenue, Joe. 
Joseph Gomes: And then you touched on it a little bit. I just want to maybe give us a little more color on some of the medical efforts in the Connect and PROTECT. Is there anything specific you can point out, maybe contract wins or size of some of the stuff that you're bidding in those markets? 
Harold Bevis: Yes. There's a couple of constraints that we look at with regards to saying yes to some of the growth awards when we get down to the final line. We've walked away from a couple of big opportunities to be honest, that we're extremely capital intense. And when we say capital intense for us, it means it's more than $1 of capital for dollar of sales. We're way below that right now because we've been careful about leveraging the company's assets and adding into adjacent markets where if you say you need 4 machine centers to complete a product. We have a capacity on 2 and need to debottleneck too. Some of the opportunities in medical because we weren't in it for 3 years.  If you say there are 4 machine centers needed, we don't have any of them. So we've been careful about those opportunities, whether they're in medical or other adjacent markets. We're stretching our growth CapEx. So I would say the overriding metric for us is largely financial. And we've been stretching the CapEx across some of these. We'll eventually get to the point where we have a little more firepower. But with the capital structure we have at the moment and they're required to step down on our covenants would be compliant. We need to be frugal on capital spending, and we are. Tim French is on the phone. Tim's looked forward 12 quarters into our cash CapEx requirements.  And Tim, I know you've looked at the details more than me here; you want to have anything you want to add? 
Tim French: I'd just echo what you said, Harold, that we're being very efficient in how we're spending capital on new business wins. And as you suggest it's significantly below $1 for $1 of revenue. So we're really focusing on utilizing idle assets or underutilized assets today, and it's proving to be very effective on how we're gaining new business. 
Joseph Gomes: And that leads related to the next question I had. You talked about open capacity underutilized assets. If you were to utilize them at your normal utilization rate, what kind of additional revenue could you generate just from the existing assets and open capacity? 
Harold Bevis: A lot of the assets that we have are older vintage and capable of making certain products, but not able to handle tolerance on certain others. For instance, we have a decent amount of equipment in our automotive engine parts areas. We make a lot of parts for high-end engines, especially diesel. And on a piece of paper, it looks like they ought to be able to make medical products. But when you get down to the tolerance needed, they can't hold the spec. So they become what we call special purpose assets. So we have a decent amount of that. If you look at our balance sheet, we have over $400 million worth of machines. And generally speaking, we're running one shift. And if you say that the growth programs are running $0.50 to $1 of growth, and that's a lot of potentially financially speaking, a lot of open capacity. But it's kind of fake news because the capacity is only capable of supporting certain type of growth initiatives.  And on a growth basis, we're really focused on accretive growth versus just filling up stuff. And so a lot of it remains idle, Joe. And to be honest, we're thinking through what our rooftop footprint should look like. And especially it turns back to the underperforming plan areas where they're mainly in volume. And they're mainly light on volume because they can mainly make commodity products. So you look at do you want to invest in those machines to be able to do other things or do you want to call it a day. So we're getting progressively machine-by-machine smart about that. If I had to just give you a number, though, Joe, I would say the number is between $50 million and $100 million is what's realistic on paper, you could come up with a lot higher number by going through the math I just laid out there, but it's around $50 million to $100 million. 
Joseph Gomes: And then one last one for me to get back in queue. Your last quarter, you had talked about potential more equipment sale leaseback transaction. Just wondering what the status of those are. 
Michael Felcher: Yes, we did, as I noted on the comments, $4.9 million in Q1. We're evaluating doing a little bit more this year. It's going to tie into our CapEx projections. So our viewpoint is we want to maintain positive free cash flow in the range we provided, and we'll look to supplement CapEx spend with either equipment sale leasebacks or financing. 
Operator: Next question will come from John Franzreb with Sidoti & Company. 
John Franzreb: I'll just start with the changes you made to your guidance wasn't much, but I'm curious as to what were any underlying assumptions you might have changed either positive or negative to maybe your revenue assumption in the year ahead? 
Michael Felcher: It wasn't a big change. We pulled down the top line on revenue a little bit the high end of the range, left the bottom the same. We're all over 4 months into the year. We just had a better feel for where we see the year coming in from a revenue standpoint. I don't think anything overall change in viewpoint other than just where we've been seeing the volume and how we see the rest of the year shaping up. And then on the EBITDA side, really, we just pulled the bottom end up a little bit and tighten that. And again, that's based on us being 1/3 of the way through the year and having a little bit more confidence in where we see that coming in for the full year. 
John Franzreb: So there's no specific end market that you think is growing more slowly than previously? 
Harold Bevis: Only one. Our exposure to the U.S. residential construction market, John, we have a specific mix exposure we make shafts for HVAC compressors. And because of our machinery and the heritage of that business, our mix is towards the low end side of those products. And with the high interest rates and what's happening with housing starts, we expected it to be soft. It's just a little softer than we thought. We haven't lost position. And if you look at housing from the NAHB or any of the housing forecasters, there's expected to be relief when the Fed gets after rates. But right now, it's rates are higher for longer, and so we're staying softer for longer. Our customers in that area continue to give us flat and then it's going to turn out, flat and then it's going to turn up, but it just keeps being flat. So we're calling it flat for right now, John. 
John Franzreb: And as far as rationalized volume is concerned, I assume that means that you're exiting the businesses, where do you stand in that process? And how much additionally will be rationalized and how does it flow through the year? 
Harold Bevis: So if you look at right now, I think you're talking about right now for, John, the outlook. So we're still staring at customer economics at one of our main underperforming plants that was. We are evaluating a potential consolidation of rooftops, which when you do that, that automatically makes -- so you look at the specific strips of business and should you spend money to move them or should you attempt an end-of-life program. So we don't have a concrete plan today. We're just doing evaluation on what's next for the facilities. We've taken out, we think, a lot of the excess headcount that was just standering around in those operations. And we're going to get them to slightly profitable with no closures needed and no attacking customer contracts needed. But that's not good enough. So we're already laddering our improvement program into 2025 at this point. And our goal is to continue sequential improvement in our trailing 12-month EBITDA. And when we're looking forward, we know we're going to have to attack I'm going to say $20 million to $30 million of business, John, that it doesn't make sense yet in terms of the cost to make the products and what we get for a price. So we've 80/20 it, but we have probably $20 million to go.  Tim, French, would you modify my answer in any manner? 
Tim French: No, Harold, I think you've hit the number. We are looking at them in detail, and I think there is some more to go. And I think you've captured the quantity perfectly. 
John Franzreb: And just for me, that $20 million to $30 million is not part of the $100 million you expect to actually turnaround in profitability. 
Harold Bevis: No, it is. 
John Franzreb: So, it is embedded in that number? 
Harold Bevis: Yes. 
John Franzreb: One last question. In the fourth quarter, you had a slide that talked about where you were in the process, and I'll use the process because it's basketball playoff season. You had 30% as of the end of the last quarter. Can you give us an update of where you stand in that process and your thoughts about where you expect to be at year-end? 
Harold Bevis: The last year, it's been characterized by Tim and I coming in and working with the team that was here embracing our realities, decisioning upon items and just being firm and friendly and moving out and making decisions and moving. I'd say we're through that. Phase 2 is supplementing our in-place homegrown management with professional management, professional leaders who can take us to the next level. We're starting that now. And then secondarily, for the plants where we've tried to improve them as much as we could, we've sheltered them in place, and they're still dilutive addressing that from a rationalization standpoint either with a customer or if we're going to retain it with our own actions. We spent no money in rationalization. Tim and I haven't since we've been here. So that's next. So I'd say we're 30% to 40% a long, John.  And the next phase, we'll be addressing our footprint. And bringing in a little bit more outside management to steer our actions that have been through these things before. So we're building upon the great work that we've done in the last year, but we're playing a ladder here. And we're looking forward on people and actions and laddering into '25. Tim is the cat on the hot 10 roof here managing the CapEx because at the same time, we want to generate free cash flow and pay down debt as we go. So the things I just said want to spend more. They want to consume more CapEx. So we're picking and choosing carefully. We don't have a '25 plan yet. We're not ready to give '25 guidance, but obviously, we know we're going to increase, though we're putting in place a set of actions to do that.  Tim, all the operations report to you, how would you answer this question of what percentage along the way are you? 
Tim French: I think we're right in that 40% range. As you mentioned, we're looking at bringing in professional managers to help with the next phase. And the next phase tends to be a little more difficult than what we've done so far when you look at footprint rationalization and that type of thing, consolidation. So 40% is a good percent for me as far as where we are today versus where we hope to be. 
John Franzreb: And one last question, and I'll get back into queue. Can you just update me on the interest expense cost, what was the cost of debt during the end of the first quarter? I haven't seen a 10-Q filing yet. So I'm just curious what that looked like. 
Michael Felcher: Just give me one stack to get you the actual P&L expense. We did in the 10-Q, John. I know that you have a lot of things you read all at once and a burst here, but our Q is on file. I'm going to blame FactSet. Interest expense for Q1 was $5.4 million. 
John Franzreb: And what was the rate on that? 
Michael Felcher: The majority of that would be the term loan, which is currently at 14.3%. 
Operator: The next question will come from Rob Brown with Lake Street Capital Markets. 
Robert Brown: Just following up on kind of the new business award activity. How would you characterize the margin profile of that? I assume it's profitable, but how does that fit into where you're trying to get to? 
Harold Bevis: And there are some prisms onto that answer. Largely, we're trying to leverage the capacity we have in place and the capacity we have in place, except for the plants, the just a few plants that are negative, have their costs covered and generating margin at the plant level. So then you get into how do you treat the use of an existing asset? Do you respread it across new business? Or do you look at it totally on a variable basis if all your costs are already covered. I can tell you that we set IRR goals on the new business, and they're reviewed by Tim and I and it's accretive as a group. And how much do you keep to the bottom line also enter weaves into what optionality do you have over the existing capacity?  Because in some cases, we're getting awards for which if you look at your existing capacity, you're constrained, but if you look at swapping out and reusing, repurposing the capacity for the new business, it's just a net margin improvement of several points. But overall, it's accretive. We're being pretty disciplined about that. We use Salesforce.com in Tableau. So we have contemporary tools to house all of our pipeline activity as well as our one business. And then it goes out by quarter on the use of cash for both capital and working capital. So we can see what we're obligating the company to in 4 periods. We've been capital efficient. So the show is still going here filling in the future periods. And I'm not ready yet to discuss exactly how accretive it is, but I'll take that as an action item for the next call. 
Robert Brown: And then you went through several categories of the new business activity, the grid and electrical activities was one of the areas you highlighted. What are you sort of seeing there in terms of activity? And how do you see the growth looking in that area? 
Harold Bevis: So we have 2 main product lines there. One is your old-fashioned circuit breakers and distribution, boxer distribution and control and the others grid edge devices for control of grids. In the case of grid edge devices or smart meters and that sort of thing, they're actually used in electrical and water. And so if you look at the public filings by our customers there, they're growing in both water, utility control and electrical utility control. Their customers are utilities and cities and municipalities and water districts. And so the grid edge devices, which were associated with, they're seeing steady growth, and we have a good mix there. On Electrical Distribution and Control, a little different because we're tied in mainly again to residential and that's tied into the same dynamic. As I mentioned earlier, for us on shafts in our machining business, that one, though, we've had some decent amount of new wins.  And so we're not trending down in that area but due to share gain. But the base business is a little soft in its think contactors, connectors, grounding and all types of electrical distribution across points. So we're able to make that with powdered metal. We have powdered metal products as well as assembled copper bar and bus bar. So overall, it's growing a little bit and has sizable backlog. So in that arena, our customers talk about book-to-bill. And there's a couple of year backlogs. The backlogs go over a couple of years. 
Operator: The next question will come from Mike Crawford with B. Riley. 
Mike Crawford: You've given some prior pipeline information like you had a $500 million pipeline at year-end. Did you state what the pipeline is currently? 
Harold Bevis: It's grown a little bit. It's closing in on around $550 million, Mike. 
Mike Crawford: And then I was hoping you could maybe guide on how these new program wins layer into your existing base of business? So NN had, what, $489 million of revenue last year, but is there like a related metric of how much of that is somewhat returned or somewhat reading off? 
Harold Bevis: So there's a few important metrics. One is that the average time from securing an award nomination, which is the industry can go to hitting peak annual sales or run rate sales is about 18 months. Generally speaking, we're a Tier 2 provider to a Tier 1 making a subsystem that's going through their internal development in the case of vehicles, vehicle crash testing and vehicle certification and PPAPing which is a quality term used in the industry. So a vast majority of our new wind profile is at 18 months from award to peak annual sales. On the second point you touched on, which was comparing last year to this year, I think the inferred question is why isn't it going up more now? That gets into the lack of winning that was going on in '22 and early '23, that would have manifested itself around now. So there will be an inflection on the contribution of new business on to our base business.  What's the takeaway business that's going through end of life production, EOP end of production. And we have looked forward and we kind of know what that is and we know what the look of it is. And our goal is to do a much higher growth than market growth. And so the business we're securing, if you do the math on it, we're $165 million on $500 million. So that's way above our market growth. Our market is growing 3% to 5%. We're winning around 13% to 15%. The takeaway is in the production, which gets into single digits takeaway. So the game plan here is to create a growth portfolio that layers in, gives us the confidence to say no to continuation of underperforming business and walk away, and we're just starting.  So we're right at 4 orders here since Tim and I have been here. And the commercial team, which is led by a gentleman named Verlin Bush was new in the job after I got here. I promoted him into that position. And his team has been winning at a much higher rate than the company ever has, and it's not slowing down. So the net amount is coming to us in future quarters. Sometimes we'll get dropped in business, Mike. Like in the first quarter, we did have a decent amount of immediate start-up wins. Immediate start-up usually means it will start in 2 or 3 quarters versus 5 or 6. And right now inside the company, we're launching close to 40 programs which is a very high level of new product launching that the company has ever been associated with. And Tim's put in place a phase-gate program, Phase 0 program and PPAPing discipline and he's bolstered his ops team with professional managers who have done this at a high level math quantity. So it's the numbers and then it's do it properly, so you don't stumble.  And right now, we're operating near our capacity for our ability to quote launch. And we have space on CapEx to do more, but these programs need to be implemented. So we're kind of comfortable with where we are right now, Mike. Not ready to take that aspiration part of our go-forward plan up. We're really committing to do that amount. And when we proven we can launch programs and they are accretive and we do postmortems and we've got it right and it's muscle now, we will look at taking up the dollars of growth that we intend to get. The market is there. We're seeing opportunities. We're just cherry picking right now.  Tim, anything else, any other modifiers on that? 
Tim French: No, again, Harold. I think you nailed it. I wouldn't have anything to add to that. 
Mike Crawford: Just one follow-up to that question. So when you have your 18 months on average from award to peak revenue, and then what on average is the EOP tail after that? 
Harold Bevis: Are you asking how long do we generally retain a program? 
Mike Crawford: Yes. 
Harold Bevis: Around 8 years. So they're like annuity strips. If you look at the amount of business per year, numerically, that the company has, it's not all your business, we have some PO business, too, but it times out, and then needs to be replaced. In the net amount probably half of the win rate. We'll get smarter on that for the next call, Mike. 
Mike Crawford: And then just a final question for me. So you're right now thinking you can capture another $10 million of EBITDA once your restructuring actions are completed, particularly with these maybe 4 other players that remain below profitability. What is the anticipated spend that you need to invest to achieve this goal? And maybe if you could frame that in the context of EBIT versus adjusted EBITDA that would be very helpful for us. 
Harold Bevis: Look, I'm going to talk a little, Tim and Mike on the adjusted EBIT to EBITDA. The business that we spoke about that loses money in 2023, we had about $100 million of business that lost a little more than $10 million at the plant level. We articulated a goal to rationalize that business, trying to retain business trips that were good, but to increase in '24 versus '23, about $10 million of EBITDA. And so if you do that math, that gets you about back to about breakeven on an annualized basis. But that's not the end point for those assets. The goal really is to get to plus $5 million. So then you say how much capital was needed to get from minus 10% to 0. Basically, nothing, not much, de minimis. The second part of your question is, so how much capital would be needed to get from 0 to plus 5%, okay, different, that's a different question.  So right now, Tim and I foresee some capacity rationalization, which will take some money, plant closures, plant consolidations, whatever toll you want to put on it. It will also take us going in for a couple of hard talks with a few customers, not a lot, but a few -- and then in the case of assets that become idled through that process, do you move them? Or do you modify them? Right now, Tim and I think a conservative assumption is that we're going to have to modify some of the equipment to be able to compete and be repurposed into our growth program.  So that has a use of capital, and that's one reason Tim is looking forward 12 quarters here against our current capital market constraints. And right now, it all works. So we're going to be probably 60-40 CapEx on growth versus cost. We haven't spent a lot of capital and costs since we've been here. We've been using it mainly on growth and maintenance of business. But we're going to need to spend some money on making that capacity profitable on a go-forward basis, either through facility rationalization or investment in equipment, so it can be repurposed to do something else.  I'll hand it to Tim. And then Tim, if you'll hand it to Mike on the financial question. 
Tim French: And we're putting that analysis together now. So I wouldn't want to quote a number as far as what the capital required for that is because we're just finalizing that and we can take that as an action item for future calls. But Harold is completely correct. It was virtually no capital or will be virtually no capital to get it to that group facilities to break-even but there will be some form of capacity rationalization, and it will require capital. But at this point, I couldn't quote a number. 
Harold Bevis: We're working within our overall idea of spending around $20 million, Mike, on CapEx. So right now, we're not letting go of that constraint. It's self-imposed on ourselves.  And then on the third point on EBIT to EBITDA, Mike, would you handle that one? 
Michael Felcher: I think you covered it in the sense that the $10 million is embedded in our '24 outlook relative to '23. And then going forward, as Tim said, if we spent some CapEx for facility rationalization that would impact EBITDA if we had any costs incurred for plant consolidation, we would typically exclude those from our adjusted EBITDA, but yet to be defined in terms of capital and expense for future footprint decisions at this point? 
Harold Bevis: Mike Crawford on plant consolidations, as you know, no one likes adjusted EBITDA as included, but there's some GAAP accounting to follow if you're going to consolidate a facility. And so I would say we're not going to do anything other than follow GAAP accounting on rationalization that we're going to do. And it's not a big thing. It's a minor thing. It's not going to be a big use of capital, but it will be a use of capital. And to Tim's point, we'll get our arms around it and be able to give numerical information next time. 
Operator: Our next question will come from Tom Kerr with Zacks Investment Research. 
Thomas Kerr: Just curious about the China business and what's driving that sort of growth and improvements there. Is it product specific or more back road type issues? 
Harold Bevis: Yes. I'd say it's mostly self-caused. So a year ago, when Tim and I came in and we challenged the global commercial teams to grow in adjacent areas that make sense for us and don't pursue any kind of silly moon shots. The China team had a lot of opportunities in front of them with the top 50 OEs in China and has been very successful, the team there, led by [indiscernible], and it's very heavy, Tom, into steering, electric power steering, EPS, we call it. So we've steered away from engine components in that market. Obviously, there's government mandates to switch to fully electric vehicles, new generation vehicles, they call them. And so we haven't pursued engine parts in that market. We're primarily after vehicle control, sensors, steering, braking, seat controls, window controls, anything that has a warm gear. So if you look at our machine business, our machine business is primarily turned parts turn parts.  There's a lot of different types of machining in the world. We're an expert in turn parts down to the nano level. So that's a smaller group of people that can do what we do with that level of precision. And so we're fundamentally in China looking at where our turned machine parts on vehicles and getting after them. And obviously, there's a tremendous amount of steering. And if you look at self-driving vehicles and automated vehicles, the precision of steering and braking has dramatically increased. And so there's a higher need for precision parts. We saw the opportunity to grow in adjacent markets are basically low risk for us and basically leveraging existing capital, in some cases with new customers, in some cases with existing customers. And in our company, that's the only facility that's nearing capacity, 24/7. So they've done a great job there.  And if you look at the vehicle production inside of China, in China, there's an ability for the industry to produce 2x the amount of vehicles consumed indigenously. So I know you follow the market, but last year or recently, China passed Japan on the #1 global vehicle exporter. And that's getting a lot of press in the Wall Street Journal and President Biden and Trump and [Indiscernible] is in Europe right now with Macron and meeting with European leaders and top conversation is, hey, you guys are coming in hard with your automotive products here. And so they're really aggressive about exporting in this industry. And the biggest export market for China right now are Russia, Australia and Mexico, and we're participating in that. So we're participating in the Chinese government's strong export behavior on vehicles made in China, and we're participating in the China-for-China program of electric autonomous self-driving vehicles.  And additionally, China is one of our lowest cost plants that in our Brazil plant. And these customers are global, and we've become globally approved as a supplier when we win these physicians. So it's actually opening up opportunities for us in the United States. Normally, think a U.S.-based company like us would leverage its relationships into China. This is the reverse. We're leveraging our successful business model in China and becoming approved in the U.S. and Europe and in Brazil. So it's really key to our future. If you look at our growth strategy, Tom, it was a big pie chart, growing in China is about 1/3 of that. So we're going to continue doing that in China. It's very important to us.  Well, thank you, everyone, for joining us today and for the excellent questions, Tim and I and Mike got some action items here, and we'll be responsive to them next time. Our transformation continues to take shape operationally, commercially and culturally. And while there's more to be done, we believe that we're going to continue to execute and deliver profitable growth for all of you shareholders on the phone, and we're a committed global team and excited about this year, really excited about this year, and we're getting excited about 25 also, and we look forward to sharing our successes with you in future quarters. And with that, I appreciate it, and everyone, have a good day. We'll end the call now. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.